Operator: Good afternoon and welcome to the Matson, Inc. Q3 2012 Earnings Conference Call. All participants will be in listen-only mode. (Operator instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator instructions) Please note this event is being recorded. I would now like to turn the conference over to Mr. Peter Hyleman, Corporate Secretary. Mr. Hyleman, please go ahead.
Peter Heilmann: Thank you, Denise. Hello and welcome to our third quarter 2012 earnings conference call. Matt Cox, President and Chief Executive Officer is joining from Honolulu; Well, I and him open today with Joel Wine, Senior Vice President and Chief Financial Officer. Slides from this presentation are available for download at our website www.matson.com under the Investor Relations tab. Before we begin, I’d like to take this opportunity to remind you that during the course of this call, we will make forward-looking statements within the meaning of the Federal Securities Laws regarding expectations, predictions, projections or future events. We believe that our expectations and assumptions are reasonable. We caution you to consider the risk factors that could cause actual results to differ materially from those in the forward-looking statement, in the press release and this conference call. These risk factors are described in our press release and are more fully detailed under the caption Risk Factors on pages 19 through 29 in the 2011 Form 10-K filed by Alexander & Baldwin, Inc. on February 28, 2012, and in all of our other subsequent filings with the SEC. Please also note that the date of this conference call is November 7, 2012, and any forward-looking statements that we make today are based on assumption as of this date. We undertake no obligation to update these forward-looking statements, also, references made to certain non-GAAP numbers in this presentation. A reconciliation to GAAP numbers and descriptions of calculation methodologies is provided in the addendum. With that, I will turn the call over to Matt, who will take us through the key highlights of the quarter, as well as an outlook for the fourth quarter. Matt?
Matt Cox: Thanks, Peter. And thank you to those on the call and for your continuing interest in and support of Matson. Third quarter was marked by steady financial and operational results with mixed performance by unit, as I will describe throughout our presentation. As we expected, our expenses rose during the quarter due primarily to dry docking, one of our largest ships and one of our neighbor island barges. These dry dockings not only impacted our fleet deployment, but additionally led to higher outside transportation cost. In place of the large vessel in dry dock, we turn to a 10-ship deployment to meet our customers’ demand and our own high service standards for on-time delivery of cargo. We expect to return to an optimal fleet structure that is a 9-ship deployment in the fourth quarter and that dry docking related expenses will be reduced for the balance of the year. During the quarter, we also noticed some encouraging, but very early signs of Hawaii volume increasing. This slight uptick was outpaced by strong volume gains in Guam and rate and volume increases in China, on a year-over-year basis. Just as important as our operational performance, we made good progress in paying down our debt during the quarter, a reflection of strong cash from operation generation, as well as a reduction in some cash reserves we held. All in all, a steady satisfactory quarter for Matson. As shown on slide 4, Matson’s consolidated operating income for the quarter was $34.2 million as compared to $30.9 million for the third quarter of 2011. I note, however, that not of all the separation expense from our former parent company, Alexander & Baldwin and shutdown costs associated with our CLX2 service, operating income decreased marginally by $2.5 million during the third quarter on a year-over-year basis. For the first nine months of 2012 as compared to 2011, operating income rose by $9 million accounting for the expense of separation and shut down. These are good results driven by solid performance in our Ocean Transportation segment, offset by lower results in our Logistics Group, more on that later. Moving to slide 5. Ocean Transportation’s operating income for the quarter was $32.9 million as compared to $28.9 million for the third quarter of 2011, and operating income margin was 10.7% during the quarter. Our operating income margins continue to improve, but we are still below where we want them. As we’ve said before, we target a 10% to 12% annual margin on average and while we improved during the quarter, we are below our target level. From a top line perspective, revenues increased by over 9%, driven mostly by net volume growth and the increases in freight rates in the China trade. Similarly, revenues increased by nearly 12% year-to-date for the same reasons. SSAT, our terminal operations joint venture is included in operating income for Ocean Transportation segment, while it appears as a contra expense on our consolidated income statement. For the third quarter, SSAT contributed $700,000 and year-to-date that amount was $3.1 million. These levels are off by over $2 million and nearly $4 million from prior-year levels due to the loss of volume of several major customers. Net of separation and shutdown expenses, operating income nominally decreased by $1.8 million during the third quarter on a year-over-year basis. For the first nine months of 2012 as compared to 2011, operating income rose by $11.7 million net of the separation and shutdown costs. However, with SSAT down for the quarter and the year, our Ocean Transportation business was essentially flat for the quarter and up significantly year-to-date as compared to last year. And with that, I’ll now shift to each of our Ocean Transportation markets. Container volume at our Hawaii service was up very modestly during the third quarter as compared to last year, while automobile volume surged by nearly 13%, mostly due to timing of automobile rental fleet replacements. This slight volume gain we saw in container volume during the quarter is encouraging, but we’re hesitant to say that we have reached the bottoming and that large volume gains are in our forecast. As I mentioned before, the impact of dry docking, one of our largest ship triggered a 10-ship deployment and the dry docking of a barge used in our Neighbor Island service led to some additional expenses related to outside transportation costs. Looking to the fourth quarter, we expect that Hawaii general economic activity will remain flat, and therefore, do not expect any significant uptick in container volume on a year-over-year basis. Our view of Hawaii volumes is influenced by some of the key economic indicators, which we’ll show on the next slide. The table on slide 7 shows some of the key metrics of the Hawaiian economy. As you can see, Hawaii has fared relatively well during this economic downturn, with strong growth in visitor arrivals and lower levels of unemployment. Nevertheless, construction in the state of Hawaii has not yet rebounded to pre-recession levels, which has in part suppressed our Hawaii volumes. We closely track construction activity measured in jobs and building permits, because it historically has proven to be correlated to volume growth or loss. And while building permits are expected to rise very significantly for 2012, much of this permit activity is centered on energy tax credits and the installation of solar panels on existing buildings, which does not impact our volumes significantly. Therefore, we remain cautious in our expectation for Hawaii volume moving forward. Turning to our Guam service on slide 8. Container volume continues to be significantly higher on a year-over-year basis, which reflects the exit of a major competitor in the market that occurred last November. While we enjoy the benefit of this additional cargo volume now, we also acknowledge that the overall volume in demand and the Guam market has contracted slightly. With that said, we expect that our volume will continue to be strong until the new entrant emerges in the market, the timing of which is unknown and difficult to predict. The U.S. military deployment activity continues to be delayed. On slide 9, our China expedited service continues to perform well, driven by much higher year-over-year freight rates and continued strong volume demand for our expedited offering. As a reminder, because about one-half of our China business is under annual contract and the other half is spot rate, we do not get the benefit of rising freight on the spot – on the full amount of the spot rate business. During the third quarter, container volume was up by 11%, due primarily to an additional sailing. We expect volume to moderate back to normal levels in the fourth quarter of 2012 and on par with last year. We also expect that seasonal weakening of freight rates will occur, indeed you can see from the chart of the upper right-hand part of slide 9 that the first three weeks of October, spot rates dipped about $200 per container. I would also note, however, that on a year-over-year basis, freight rates in the fourth quarter of 2012 should remain much higher than last year’s very low levels. As I’ve mentioned before, there is currently a surplus of container vessel capacity in the world international container market relative to demand. Sustaining current transpacific freight rates depends upon rational industry-wide carrier management of vessel capacity and secondarily on the strength of the U.S. economy. Turning now Logistics on slide 10. Performance continues to lag our internal margin benchmark for this segment, driven mostly by volume loss as the result of the shutdown of our CLX2 service and also the loss of a major ocean carrier customer. In response, we’ve focused on organic growth in our intermodal and highway businesses, we’ve initiated the rollout of a domestic 53-foot container pilot program and targeted general and administrative cost reductions to improve profitability. As yet, however, these efforts have made only a modest impact on segment profitability. As a result, the Logistics segment operating income for the fourth quarter is expected to be breakeven. But our results will be depended upon continuing improvement at our logistics Northern California warehouse operations and ongoing expense control. Now, let me turn the call over to Joel for a review of our financial performance and outlook.
Joel Wine: Thank you, Matt. Slide 11 presents a summary of our unaudited income statement for the quarter and year-to-date. Before commenting on the numbers, I want to make a few general comments. One, I am pleased that our first quarter as a standalone company was very clean from an income statement perspective, as there were no meaningful impacts from the separation with A&B or shutdown costs associated with CLX2. We now also have all the interest expense on our full debt running through our statements, which provides a good run rate for future interest expense estimates. And third, our effective tax rate has essentially normalized, although was modestly lower this quarter than our estimated 38.5% due to a state tax refund we received. Moving to the numbers. Total consolidated revenue for the quarter was $401.4 million, a 5.5% increase over last year, due mostly to net freight rate and volume gains in our Ocean Transportation segment. Net income was $19.1 million during the quarter or $0.45 per diluted share. This compares with $0.21 per diluted share last year or $0.44 per diluted share from continuing operations last year, which removes the impact of A&B and CLX2 discontinued operations. Turning to the next slide, we are presenting for the first time our EBITDA for the quarter and the full year-to-date. We believe EBITDA provides information that is useful for our investors as it is a measure used by our management team to evaluate performance and make day-to-day operating decisions. In the third quarter of 2012 our EBITDA was $52.5 million; and for the first nine months of the year, EBITDA was $128.5 million. Net of separation shutdown expenses, EBITDA decreased modestly in the third quarter and increased by $11.7 million year-to-date. Slide 13 provides a breakdown of capital expenditures by quarter for the first nine months of the year. Our capital expenditures are expected to be $10 million to $15 million for the balance of the year, heavily weighted towards Ocean Transportation, which would bring our total CapEx spend for the year to be approximately $40 million to $45 million. This amount is in the lower end of the $40 million to $50 million range we mentioned on our last quarterly earnings call, and is right in line with our historical annual maintenance capital expenditures, excluding new ship builds. I’m also pleased to note that on October 25, our Board authorized a quarterly dividend of $0.15 per share. Matson has now standing history of paying dividends and the authorization reflects the solid financial foundation of our company. With our financial strength, we also have the ample capacity for further investments in our businesses and new growth opportunities. Turning now to the balance sheet and credit metrics. We ended the quarter with total debt of $328.6 million. During the quarter, we paid down debt by $44 million through a combination of cash from operations and reductions in excess cash balances, we held at the end of last quarter at the time of separation. This is consistent with one of our post-separation goals, which is to reduce debt levels. At the end of the third quarter, I’m pleased that our net debt-to-EBITDA coverage ratio has been reduced down to 2.0 times. Slide 15 captures our outlook for the fourth quarter of 2012. Given the traditional seasonality of ocean shipping, the company expects its volume in the fourth quarter of 2012 to be lower than third quarter levels. However, owing to the strong freight rate environment in the China trade and continued expected increased volume in the Guam trade, the company expects its Ocean Transportation segment operating income for the fourth quarter of 2012 to be significantly higher than the $13 million achieved in the fourth quarter of 2011, perhaps, even a doubling of operating income in the fourth quarter. The Logistics segment operating income for the fourth quarter is expected to be breakeven, but will be depended upon continuing improvement at our Northern California warehouse operations, continued expense control, improvement in the U.S. mainland economy and competitive dynamics in the industry. And with that, I will now turn the call back to Matt for closing remarks.
Matt Cox: Thanks, Joel. We had another steady quarter, both operationally and financially. Our Ocean Transportation segment performed well and showed a modest improvement in margins, but on a year-to-date basis we’re below our target range of 10% to 12%. I think we can do better. In an order to do better, we will need to see a more meaningful increase in Hawaii construction activity. On the Logistics side, we continue to focus on organic growth in each of our lines of business. You’ve heard some of our efforts that are underway and are starting to take root, and we expect this business to produce operating profit levels of 2% to 4% in the longer-term. We did make good progress in paying down our debt during the quarter and our balance sheet is in great shape. Coupled with our cash flow generation capabilities, we are well positioned to capture gains in the future, whether through organic growth associated with Hawaii and the U.S. economic recoveries, or through new growth opportunities. We are ready. And with that, I will turn the call back over to the operator and open the call up to questions.
Operator: Thank you, Mr. Cox. (Operator Instructions) The first question will come from Jack Atkins of Stephens. Please go ahead, sir.
Jack Atkins – Stephens: Good afternoon, guys, and thanks for taking my questions.
Matt Cox: Hi, Jack.
Jack Atkins – Stephens: I guess first off, Joel, can you just go back to one of the last things you said there are on the outlook for the fourth quarter. You mentioned a potential doubling in operating income in the fourth quarter on a year-over-year basis. Could you give us just to make sure while working from the right number, what’s the 4Q 2011 operating income number that you’re working off? Because I know that there’s corporate expense included in that now that wasn’t in the comparable period last year?
Joel Wine: So, thanks, Jack. So we’re working off the $13 million number that I mentioned and that we put on the slide. So the reported operating income for that segment last year was $13 million.
Jack Atkins – Stephens: Okay, great. Want to make sure I heard that correct. And then when we think about the Hawaii service, I know that you guys are encouraged and it’s early to see a modest amount of growth there on a year-over-year basis. So when you think about the strong visitor arrivals and visitor dollars being spent in Hawaii this year on a year-over-year basis, maybe being back to peak levels. Just trying to think about the lag between the amount of money being spent in Hawaii by visitors and sort of when that’s going to start showing up in construction dollar spent, which would impact you guys? Any sort of color you could give there I think would be helpful.
Matt Cox: Yeah. Jack, why don’t I take a crack at that? I think we have said for the last couple of quarters that I think it’s been a good sign for the state to see such strong tourism activity and the reports from your hero and the bet point to some of the indicators there in terms of visitor arrivals, visitor spend, hotel occupancies and so on. And as a tactical matter, that doesn’t translate into a lot of freight. The amount of containerized cargo consumed by those visitors is quite narrow. But we do think it does provide longer-term a catalyst for hotel owners to look at major refurbishments. And the broader improvement in the state’s economy I think will lead to more underlying demand for primary housing and we’re already seeing the beginnings of at least the planning stages for some new high-raised hours in Oahu and we were seeing relative improvement in sales volume and prices at least in many of the islands. And so I think we see it heading in the right direction, but it just hasn’t translated quite into the – where it turns into freight for us.
Jack Atkins – Stephens: Sure, that makes sense. That definitely make sense. And those are going to be hard to sort of predict that (inaudible) showing up in the volumes. And then just a couple other quick items and I’ll jump back in queue. Matt, I was wondering maybe you could give us an update on how the rollout is going out via the 53-foot intermodal box program, just sort of any color there on the progress you guys are making?
Matt Cox: Yeah, sure, I can do that. Again, it’s a pilot of only 200 53-foot boxes, which we took delivery of in this quarter and are essentially all but small handful, fully deployed and are now moving. And the initial turns, the margins per container are all very encouraging. So it wasn’t a significant driver to our operating results for the quarter, but we certainly like what we’ve seen so far.
Jack Atkins – Stephens: And at what point would you guys consider maybe expanding that from a pilot program to a full-on business line maybe going from a couple of hundred boxes to maybe several thousand? Is that something that could happen in 2013 or is it maybe later than that?
Matt Cox: It’s a good question, Jack, I think in part it will depend on the underlying demand. And so I think the way we’re approaching it now is that we will grow as the demand for it picks up. So I think at some point, we will see us once we get done with the pilot and look like we’re ready to expand it, we’ll probably continue to grow it in a very sort of steady fashion, but of course, to the extent that we can now have a conversation with our customers and other customers about how many boxes do you want and we’ll put them into contract, that changes the nature of the conversation with customers. So I see it really at the end as very demand-driven. If the market wants it, we’re going to produce them and put them into service.
Jack Atkins – Stephens: Okay. That all makes sense. Last thing from me. Both you guys told that the one-time expenses in the Ocean Transportation business due to dry docking. Just sort of curious if you guys would be willing to quantify that for us, just so we sort of can have an idea of what the underlying operating margin level of the Ocean Transportation business was in the third quarter?
Joel Wine: Jack, we don’t disclose the specific amounts, so that’s something we cannot answer. So when we talk about our quarter, we’ve mentioned big drivers in year-over-year comparisons, so we don’t break out the specifics.
Jack Atkins – Stephens: Okay, that makes sense. Thanks again for the time, guys. And a great quarter.
Joel Wine: Okay. Thanks, Jack.
Operator: And our next question will come from Michael Webber of Wells Fargo, Please go ahead.
Michael Webber – Wells Fargo: Good afternoon, guys. How are you?
Matt Cox: Good.
Joel Wine: Good, Mike. How are you?
Michael Webber – Wells Fargo: Good. Matt, I want just to jump back to the conversation around your vessel deployment, you mentioned in your prepared remarks, you guys moved 10 vessels and you’re moving back to nine in Q4. Can you talk to when you’re doing that within the quarter and how should we think about that from, I guess from a cost breakdown perspective in the fourth quarter, maybe just a little bit of color about what that means for the numbers in the fourth quarter?
Matt Cox: Yeah, I can do that Mike. What I would say is that – just to put this into a little context, we have a number of vessels and dry docking is a relatively normal occurrence. Wt happened in this case is that one of our largest vessels, we have three vessels that are what we call our C9 Class, which are our largest vessels. And when these large vessels go into dry dock, we have to replace them with two smaller vessels, in order to carry the cargo package and keep our service level demands up. And so the specifics on what – they’re going to be delivered, I would say, sort of between the middle and the end of the quarter. The reason if you listen to Joel’s comments about our improvement in operating results that we expect in the Ocean Transportation segment in the fourth quarter, you’ll notice that Joel did mention dry docking cost is being a major driver for the quarter year-over-year. So as we look at it, there will be a step down in cost, it was a call out in this quarter, less so in the next quarter. But it’s really going to be improvements in the freight rate environment in China, and of course, the remaining quarter of the benefit of Guam volume that are driving more of the year-over-year results for the fourth quarter, just to provide some additional context.
Michael Webber – Wells Fargo: No, that makes sense. And along those lines, and forgive me if guys have within your back that I missed. Did you guys put out a special survey into our dry dock schedule for 2013?
Matt Cox: We have not done that, Mike. And we’ll approach that as we go into the year-end call and provide what we think is going to be meaningful that to investors in terms of the earnings path for next year at that time.
Michael Webber – Wells Fargo: Got you. That’s helpful. And we’ll look for that. You mentioned Guam and I just kind of got back up and thought big picture in your market share there. I mean, it’s obviously something difficult to quantify, but how long do you guys think you guys can continue to trend along with this kind of market share in the Guam market? I mean, from what you’re seeing from your competitors, at what point you think you start to see some natural erosion there?
Matt Cox: Yeah. I mean, it’s really difficult to tell, Mike. I would say, operationally it’s very straightforward for us to handle all this additional volume that we had that extra capacity on that vessel, the calls into Guam, and the operating part of that is working very smoothly. In some ways it’s very difficult to predict when another carrier comes in, I can say tactically right at this minute, we’re hearing of no one, who has announced plans to come into the market, but that could happen, that could change relatively quickly. So it’s really difficult for us to know when another competitor would come into the market. And it’s difficult to speculate.
Michael Webber – Wells Fargo: Got you. That’s fair. If we kind of move to transpac and your backhaul, can you talk a little bit about the pricing premium and others trended this quarter? And I guess in Q3 and in kind of Q4 to-date, we’re hearing a lot about kind of ocean trans is going to grab some incremental share from air freight and you guys would obviously be kind of the next choice, so along that kind of value prop. Has that premium expanded to any meaningful degree over the last several weeks or months, or just a little bit of color about how that’s trended?
Matt Cox: Yeah, I can do that. On the transpac, I think what we saw was a – and of course, we’ve been at this now for six years. We have seen through various market cycles, our premium relative to the average rates in the market expand and contract as we go through the market sales. But I would also say, there has been a steady improvement in our margins as we have become a more and more credible player in the expedited niche statement that we’ve carved out for ourselves. And so I think we saw a very strong level of demand for our expedited product owing to people down grading from their air freight market. It was a very, very good year for us in the quarter. But we’re now I think getting into the – the peak ended three, four weeks ago, we’re starting to see shipment volume sort of begin to trend down along the line of sort of normal practices. But I would say without giving the number, it’s been a good year as far as the premium and we have – it’s been a good year from that perspective.
Michael Webber – Wells Fargo: Got you. All right, that’s helpful. And I think in one of your earlier answers Matt, you mentioned the effect of the significant amount in that CLX5 businesses, it’s kind of on an annual contract. Can you just remind us about when the bulk of those contracts reset?
Matt Cox: Sure. Yeah. I mean for the trade in total, May 1 is the big contract date. In reality, contracts begin to get signed as early as January and some even go through June 30. But I would say the very largest bulk maybe 70% or 75% of the contracts on a volume basis are May 1 to April 30 cycle.
Michael Webber – Wells Fargo: Got out. All right, that’s helpful. Just a couple more from me and I’ll turn it over. I guess just from a high level from a volume perspective, and you guys kind of already touched on this. I mean, obviously, volumes were a bit better sequentially and a bit better than we had anticipated. Can you maybe give a little bit of color about how that’s trended quarter-to-date on a relative basis?
Matt Cox: In the fourth quarter, no. Not other than the earnings guidance – the outlook comments that Joel had made. I think that’s really all we’d like to comment on at this point.
Michael Webber – Wells Fargo: Got you. All right, fair enough. And then I guess just finally from a replacement CapEx perspective, and you guys have been pretty clear about your plans there. And just any commentary around timing of placing some of those orders, and then, are you seeing any pressure for slots specifically in San Diego in terms of being able to get in and place an order when you want to?
Matt Cox: Yeah. Our plans have not – I can give you a little bit of color on timing. I would say that there are two or three yards that are likely to bid on our project. One, as you pointed out in San Diego, there is a yard in Philadelphia and several goal yards potentially that could bid on the project. Our view at this point is that we’re probably sometime in calendar ‘13, we’d hope to finalize our planning and structure and size for those vessels. And we certainly will be soliciting all the main yards and we’ll have more to say about that as we get into 2013. But I would guess sometime during calendar 2013 we would want to firm up our plans. And as we said earlier, those plans are for two vessels that would be delivered in the next three to five years of about $200 million a piece. That’s kind of for planning purposes, the approach we’re taking.
Michael Webber – Wells Fargo: Got you. All right, now that’s helpful. That’s all I’ve got, guys. Thanks for the time.
Matt Cox: Okay, Mike. Thank you.
Joel Wine: Thanks, Mike.
Operator: And our next question will come from Kevin Sterling of BB&T Capital Markets. Please go ahead.
Kevin Sterling – BB&T Capital: Thank you. Good afternoon, gentleman.
Matt Cox: Hi, Kevin.
Joel Wine: Hi, Kevin.
Kevin Sterling – BB&T Capital: Looks like you guys have captured some of the volume I think you lost in Q2. What was driving the better demand trend, was it less competitive pressure that you experienced in the second quarter, or maybe just typical peak season trends?
Matt Cox: Are you talking overall Kevin, or are you talking about in one particular market? Just so I understand the question.
Kevin Sterling – BB&T Capital: Overall, and then if you could kind of break down the markets, it would be helpful.
Matt Cox: Okay. Yeah, I mean, I think in the China market, we were building into the peak season, the volume there was actually I think a little better, because the previous year had an unusually weak pre-Lunar New Year, post-Lunar New Year build. So I think that market I think held up pretty well. Guam, of course, year-over-year was up dramatically because of the absence of our primary competitor. And so that was pretty clear. Hawaii was the weakest of our markets on the ocean side. And there, I think it was just sort of due to two or three factors. There was some competitive pressure, the market was pretty soft, a lot of our customers were just noting that they had lower shipment volumes compared to the previous year. And there was some cargo that moved that have previously moved from Asia into the West Coast and then was carried by either us or horizon lines with – some of that was now we saw being carried direct into Asia. Those are some of the factors in the second quarter in the Hawaii service and we’ve seen some flattening and a small improvement in the third quarter in Hawaii.
Kevin Sterling – BB&T Capital: Okay, great, Matt. Thank you. With the auto business you saw a nice pickup and you mentioned timing of the rental replacement cycle. Could you give us more color on the cycle? It was most of a Q3 event or should we see some benefit into Q4 as well?
Matt Cox: Yeah. I would say that if you look at our year-to-date volumes in auto, they’re still down somewhat. And there are two segments. One is, the retail segment in Hawaii, which is the smaller of the segments. And I think there we did see some improvement along the lines of the Hawaiian economy generally. But of course, the big needle mover for us is the timing of the rental fleet replacements. And part of it is the fact that the rental car companies delayed the shipments from the second quarter into the third quarter, because of the strong demand and high tourism volumes that kept their fleets a little longer and only started to replenish in earnest in the third quarter once they’ve hit the peak. And so in every year there is just a little variability around the timing of that, but on an overall segment basis year-to-date, we don’t see any noticeable change in the pattern of car volumes.
Kevin Sterling – BB&T Capital: Okay. Thanks, Matt. And with the SSAT joint venture, can you talk about the decline in these results due to loss of volume from several major customers? Any chance you can recoup some of that business in Q4 and maybe could you comment on what you’re thinking about that business for 2013?
Matt Cox: Sure. We’ll comment on our views on 2013 in the year-end call. So we’ll provide color in that context then. But what I can say is, we did suffer the loss of two major services that was the loss of the Grand Alliance service in our Seattle terminal. The Grand Alliance had been a long customer of our T-18 facility and they decided to shift their volume to a terminal in Tacoma. And that began really in the beginning of the quarter we had talked about that in the previous call that was the most significant driver. Then we did have a second customer in our Southern California Long Beach terminal, where our company shifted one of their strings from our terminal to another terminal in the Port of Los Angeles. So, to the answer to your question about whether other volume comes back, yeah, there are cost savings measures that we can do. We’re also looking to solicit potentially other cargo through our terminals as we have some surplus terminal capacity. So that work continues.
Kevin Sterling – BB&T Capital: Okay. Thanks, Matt. And just I know you can’t talk about 2013, but may be directionally can you talk about your CapEx plans for 2013? And in particular, I’m thinking about maintenance CapEx, should it be similar to 2012 levels?
Matt Cox: Yeah. I think the way – first of all, we haven’t finalized our capital planning for the year. But I would say, our view is independent of new vessel construction which we sort of talked about trying to figure out our planning for that we’ve said between $40 million and $50 million a year of maintenance CapEx is a good number to use for planning purposes. And so I would say, we’re not going to be far off that range if you use that from a planning perspective.
Kevin Sterling – BB&T Capital: Okay. And one last question here. Joel, you talked about you guys have debt paid down and gotten nice leverage ratio there. Maybe on the M&A front, what are you seeing in terms of M&A activity there, particularly if you guys relate it to Logistics?
Joel Wine: It’s a good question, Kevin. I think there has been an uptake of some transactions across some of the various components, freight brokerage in particular. So we’re keeping an active awareness of what’s out there, we’re obviously mostly focused right now on our internal organic business and improving some of the areas we’ve talked about on this call, particularly warehousing and intermodal and focus on our trucking business. So we’re watching what’s happening in the market, it’s not the highest priority at the moment, but we do have fire priority to move forward on transactions if they make sense for us.
Kevin Sterling – BB&T Capital: Okay, great. Thanks so much for your time this evening.
Joel Wine: Okay. Thanks, Kevin.
Matt Cox: Thanks, Kevin.
Operator: Our next question will come from Steve O’Hara of Sidoti & Company. Please go ahead, sir.
Steve O’Hara – Sidoti & Company: Hi, good afternoon.
Matt Cox: Hi, Steve.
Joel Wine: Hi, Steve.
Steve O’Hara – Sidoti & Company: Can you just – in terms of your CapEx, you’ve been pretty clear about your plans I guess in the near-term, or with the two ship that you’re planning on buying over the next let’s say several years. I mean, did you guys look at that from a timing standpoint where you kind of make an outlook as to what you think the economy is going to be like or is that coming that’s kind of so far out in terms of planning in capital budgeting that you kind of have to make decisions to do it to kind of see what happens in the economy after that?
Joel Wine: It’s more the former, Steven. So the whole vessel design process and then working with shipyards to get the design quoted and then make a decision, buying it, et cetera, that’s a lengthy process. It could take a year or two. We think it will be 12 to 18 months for ourselves from where we sit today. And so as you go through that process, make your final decisions, you then have to have all your financing plans in place and then it takes a year to 18 months to build and have the ship delivered. So that’s why we – we’re in the midst of that in a very, very active way right now internally and that’s – when you add up all the time segments, that’s why we say, three to five years from now in terms of actual delivery. But we’re moving forward, that’s a key focus of ours. So it’s not – you never say never with the economy and things like that. But generally, we would expect to move forward on that timetable.
Steve O’Hara – Sidoti & Company: Okay. And then lastly. Moving to the auto volumes. The rental car companies have been holding their cars significantly longer than they used to on a average. Is that something that is going to be kind of a permanent headway, or do you see that normalizing over time? And maybe possibly see them cut that time as maybe residual values for autos decline. Is that something you guys look at and forecast over now?
Matt Cox: We don’t directly – we’re more reacting to the rental car companies own internal economics as you point out, and some of the factors that go into that. The other factor that went into it from our perspective at least in this last cycle was that there was a significant amount of excess manufacturing capacity and the surplus capacity was being – those extra cars were being sold to the rental car fleets at a very significant discount. Based on that discount, rental car companies were responding by shortening their replacement timeframes. We’ve seen that widen out as the excess capacity in North America for auto manufacturing has been absorbed, and it’s our view that it is the way it is, absent some other major change in catalyst. So kind of what we see now we’re expecting to remain in place for the foreseeable future.
Steve O’Hara – Sidoti & Company: Okay. And then, I’m sorry, but in terms of the operating income, maybe almost doubling in that neighborhood. That was just for Ocean Transportation. And then if you could just kind of – I don’t know if you said the main driver of that, one instance I think you said China and Guam, but is that correct?
Joel Wine: Yeah, that’s correct. And that comment perhaps doubling was with respect to the Ocean Transportation. For Logistics, we said breakeven.
Steve O’Hara – Sidoti & Company: Okay. All right. Thank you.
Joel Wine: Okay. Thanks, Steven.
Operator: (Operator Instructions) The next question will come from Ian Zaffino of Oppenheimer. Please go ahead, sir.
Ian Zaffino – Oppenheimer: Hi, thank you. Question would be on the rerouting. I know you had mentioned that. But I think you said that – is that thing stabilized, and I know you’ve talked about the rerouting have stabilized, or just all the factors combined and stabilized?
Matt Cox: Ian, when you’re talking about rerouting, are you talking about our fleet deployment?
Ian Zaffino – Oppenheimer: No. I’m talking about the goods from China going –
Matt Cox: Oh, I see. Yeah, okay, great. Yeah, so I would say that that has stabilized. It was more of a driver year-over-year. What it happened just as additional context is, there was a large international steamship line that had decided – that had carried cargo for a long time over the U.S. West Coast and had decided to pull out of the Hawaii market, taking that Asian origin cargo and putting it up for grab. And the second thing that happened was, there was a Japanese carrier that had served for a long time in the Hawaii market. And they themselves have restructured their service about at the same time. So what it happened was a lot of cargo that had moved in a relatively stable fashion, had to find new ways to move to Hawaii and that was somewhat a dislocation that we saw and that is largely stabilized at this point.
Ian Zaffino – Oppenheimer: Okay. And then the second question, I guess I’m just trying to understand the Guam market a little bit better and the concern around and another competitor coming in. It seems like you are able to as you said, as you said, apprehender it or whatever your wording was, plus your volumes are down there. What would be so attractive for someone to really come in as opposed to kind of let you have it alone?
Matt Cox: Right. Yeah, I mean, for the last 30 years that I’ve been involved in this business, there’s always been two primary competitors. So the thinking is that that’s the natural state of things. Now, it could be, and as I said, we’ve been pretty clear that eventually we think somebody may come into the trade, when is difficult to ascertain. Your point about declining market is a good one. We’ve also talked about in the past calls the long-term impact of a potential relocation of marines from Okinawa into Guam, which would require additional military spending to accommodate those Marines if it occurs, that appears to be pushed out to some unknown point in the future. But some additional construction and then potentially cargo volume may increase at some point in the future. So it is difficult to know, but our reaction is mostly owing to the fact that it’s been a two-carrier trade for many decades.
Ian Zaffino – Oppenheimer: Right. But the fundamentals right now don’t want and like near co-entrance.
Matt Cox: Yeah. But I hate to be on the wrong side of blowing investors into believing no one is ever going to come and then someone will come, because that will certainly impact our operating results. So it’s difficult to know and we want to be cautious in our approach.
Ian Zaffino – Oppenheimer: All right. Thank you very much.
Operator: (Operator Instructions) And ladies and gentlemen, this will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Matthew Cox for his concluding remarks. Please go ahead, sir.
Matt Cox: Thanks very much everybody. We’ll look forward to catching up after the holidays in our year-end call.
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today’s presentation. You may now disconnect your lines.